Operator: Greetings and welcome to the Professional Diversity Network’s Second Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I’d like to remind listeners that during the call certain information presented contains forward-looking statements. These statements are based on management’s current expectations and are subject to risks, uncertainties and assumptions; potential risks and uncertainties that could cause the company’s business, financial results to differ materially from those forward-looking statements are described in the company’s periodic reports filed in the SEC from time-to-time. All information discussed on this call as of today, August 12; and Professional Diversity Network does not intend and undertakes no duty to update future events or circumstances. It is now my pleasure to introduce your first host, Jim Kirsch, CEO. Thank you, Mr. Kirsch. You may begin.
Jim Kirsch: Thank you, operator. Good afternoon and thank you for joining us. This is Jim Kirsch, Chairman and CEO of Professional Diversity Network. With me today are Star Jones, our President, David Mecklenburger, our CFO; Chris Wesser, our Executive Vice President and General Counsel; Kim Brown, our Communications Director and Jorge Perez, our Executive Vice President. I have prepared remarks for our call, but if you don't mind them let go off script just for a moment, before I take you through the prepared remarks, that I wanted to make sure that I covered all the points that I wanted to bring up on the call today with these prepared remarks, but I am not a professional speaker as my associate and our President, Star Jones, so I hope I don't draw you into sleep during my prepared remarks. So before I get into that let me say that I’m very pleased with the significant progress that we’ve made in the second quarter to drive the company towards profitability, I have said in the past that the objective and the goal of the company in the near term is to manage towards profitability and I think we’ve made significant progress. I hope you’ve seen our release that was issued, if not we will cover the highlights of it on the call today. And we will also go into some greater detail in our filing that we have just made with the Securities and Exchange Commission. I know all of us are concerned about today's stock valuation. It's exceedingly unfortunate personally I am a significant shareholder. I have had the opportunity and have continually been purchasing stock when the blackout periods are not in effect and I’m able to buy. And it is surprising that in light of the results, since the last quarter that we’ve had this adverse effect. So I wanted to make sure that we recognize that we’re concerned about that we’re driving towards stockholder value and we’re doing everything in our power to do that. I think the second quarter results demonstrate that we’re making some progress. With that said, please try to bear with me and don’t nod off. I promise it won't be too long with my prepared remarks. I am going to begin this call by talking about our operational priorities, after which Star Jones will speak to our social agenda, followed by a financial review from David Mecklenburger, after which we will entertain a question and answer session. Today I am pleased to report the following. We have reduced our operating expenses by 11% from Q1 to Q2 2015. We have decreased our EBITDA deficit by 71% from Q1 to Q2. We have added over 1.5 million new registered users to our professional diversity networks in Q2. I blow note that that number does include the growth that we have had at NAPW which Star will speak to briefly. As we have discussed on prior calls our operational priorities fit neatly into both the revenue and expense sides of the ledger. From a revenue perspective, our number one focus is on productivity, generating new membership fees, driving up retention rates, generating more leads and expanding the base of recruiters are all keys to our success. The benefits of our business reach from the individual to the corporation, but that is what I will ask Star to talk about in more detail. As we look at the revenue side of the ledger we are expanding our content and reach across all of our platforms. In the case of NAPW we have launched a new website with an improved look and feel. We are launching our first member e-chapter network next week which is a virtual networking chapter; again Star will go into greater detail about and we continue to career resource content. We also now have more than 775,000 unique member users, many of whom benefit from the networking experiences in both online and live settings at NAPW. While it may seem obvious, our priority here is to grow the subscriber base by adding relevant and engaging services. Networking is a big business and we serve an important niche. Growing the PDN business involves two sides of the equation. On one hand we have to develop engaging content for users, however, we have to continue to attract progressive companies to our platform. Then we have to connect the two of them and help people find jobs. While this process is simple enough, there are a lot of alternatives for job seekers and job posters. However, our opportunity is unique because we are a leading side that caters to a diverse workforce. It’s a social platform in as much as it is a job board, where proactive companies can connect with a variety of people, who they might otherwise have trouble reaching. Furthermore our recruitment platform leverages our EEO affirmative action, and OFCCP compliance outreach reporting and qualify candidate delivery system. Having a diverse pool of candidates including recruiter access to the NAPW also provides additional value because of the professional caliber of the National Association of Professional Women membership. Access to people and knowledge about them helps our partners target the right candidates for their services. It’s about connecting the task and meeting the individual needs of each person. Now that I’ve talked about which drives revenue side of our business, it’s also worth spending a minute on the expense side. As we have previously said, we thought we would be able to reduce expenses by about $4 million per year. As you can see, we are right on track showing a sequential decline of our expenses of almost $1.5 million in operating expenses. Well that is a story unto itself; I want to focus on two things here, specifically leverage and efficiency. We streamlined our expenses and eliminated waste. This is important, because this company is generating a gross profit margin of over 80% in the quarter. We are cross-selling, up-selling and engaging through and between our major business units. We now have begun to leverage our employer relationships, which can be seen through employer sponsorships of the National Association of Professional Women events, as well as through access to Corporate America where companies are purchasing corporate licensees to NAPW for their employees. Now these are two points that we have brought up in the past that we looked to achieve. I will reiterate, we had a great event in Los Angeles last week. We had over 1,200 people pre-register for that event and we had over 20 employers, companies, who sponsored that event. It was the single largest event NAPW has ever had outside of their annual national conference; again Star will speak to that. We have also signed contracts with companies who are now acquiring NAPW's corporate membership including the Manpower Group which is one of the largest staffing companies on earth. In addition to leverage, we’re focusing on efficiency. We have identified and eliminated redundant positions and we are rationalizing expenses for each business unit. In some we have made good progress towards our goal of reducing expenses. We continue to mature, evolve and optimize the combined assets of our company. This is a very significant effort that has and will require our formidable resources to achieve our stated objective. Our goal remains to build a profitable platform that can meet the large addressable market for providing economic opportunity to those we serve including women multicultural Americans, LGBT professionals, our nation's heroes, our veterans and their spouses. On that note, I would like to turn the call over to our President, Mr. Star Jones for some further commentary.
Star Jones: Thank you, Jim. Good afternoon everyone this is Star Jones, President of Professional Diversity Network. I like Jim, and would like to take the opportunity to thank you for dialing in and take this opportunity to make a few brief comments about our business. At the heart of what we do and who we are, we assume everyone is indeed an individual with different experiences and needs. Some of the giant networking websites do a good job at personalization. But there is only so far that they can go. In the modern world, and particularly in the professional world where our businesses focused, it's all about diversity. That's what makes us different than any other online job recruitment tool available. And the difference is really reflected in our name, Professional Diversity Network. We are about diversity and the key to the diversity is inclusion. Now that's not say that a person who happens to be black or white, or gay or disabled or something else has different needs in the office, but rather, they bring different experiences to the office. And learning from each other is to the benefit of everyone. That's the business we’re putting together. We’re doing it to help people connect with the right corporate citizens who are forward-thinking. It's clear that the federal and state governments have their diversity requirements and we can help companies comply, but that's just the beginning. We all know that a diverse and inclusive workforce drive economic growth, can capture a greater share of the consumer market, fosters a more creative and innovative workforce, and is necessary to create a competitive economy in a globalized world. When companies are inclusive in their search for talent it is good for business and good for our country. If we can connect the jobseeker to a job, well, we have done well. If we connect an unemployed job seeker to an educational institution or better yet to a company who will invest in their education we have done good. And if we can do good by people, and by companies then we will be successful. Our team has been quite a while putting together the pieces and now we have what we need. I am also thrilled about what we are accomplishing at NAPW for our current and future members. NAPW has created an online community and an in-person community where professional women can network with each other, develop personally and professionally, promote themselves in their businesses and advance their careers. To that end our team is launching new benefit that serves to enhance the value of our professional organization; with a goal of increasing our retention rate and our new membership base. NAPW now provides up to 50 distinct products, benefits and/or services in the areas of online networking, in-person networking, advanced career opportunities, promotion and news, educational advancement and savings in perks. Here are several highlights of our recent achievements relating to our membership benefits. First, our new website adds functionality that includes enhanced online profiles, web pages to promote our members' businesses and services; and of great excitement, our new NAPW e-chapter, which is indeed a virtual networking with interactive webcam video and text services as well as steaming video capabilities. Second, we have a new VIP concierge service to provide additional specialized services for our VIP members. We also have a new NAPW certified professional profile services available to all preferred élite and VIP NAPW members. And finally we provide access to the NAPW summit, including that event that Jim probably told you about that we held just last week in Los Angeles with over 1,200 preregistered attendees and over 200 companies recruiting and introducing their businesses to our members. As you all can see we are adding a lot of value and working hard to make our vision into a reality. And I am looking forward to updating you on our progress in future calls. So at this point I would like to turn the call over to David Mecklenburger to update you on our financials. Thank you for listening.
David Mecklenburger: Thank you, Star and good afternoon everybody. At this point, I hope everyone has seen a copy of our press release. If you need a copy, please let us know and we’ll send it along to you. Our complete financial results can be found in our press release and in our recently filed 10-Q. Right now I’m going to summarize our financial results for the quarter. And then we will open up the call for questions. Our second quarter revenue was 10.4 million. This was roughly flat with the prior quarter and up 907% versus the comparable quarter a year ago. The growth is primarily due to the acquisitions we did in the third and fourth quarters of last year. Our gross margin was over 85% in the second quarter and we had a net loss of 788,000. These results reflect the second quarter of operations of our combined businesses. The second quarter 2015 also shows that we can deliver on the expense controls that we previously outlined. As Jim mentioned, we did a very good job on expense controls, in fact we reduced our operating expenses by almost $1.5 million from the first quarter to the second quarter and we narrowed our EBITDA deficit from 1.568 million in the first quarter to 454,000 in the second quarter. I’d like to note that this EBITDA measure does not reflect noncash stock-based compensation expenses of 114,000 in the second quarter and 122,000 in the first quarter that were included in G&A expenses. We continue to look for and find areas where we can reduce expenses further and are active in this regard. We continue to drive toward the goal of achieving positive EBITDA and expect to get there on a combination of higher revenue and lower expenses. Turning to the balance sheet, we had 6.4 million in cash and short-term investments as of the end of the second quarter. We also had 527,000 in notes payable and we have no long-term debt. At this point, we believe our capital structure sufficient to meet our near-term objective. This concludes our prepared remarks. And we would like to turn this back to the operator to poll for questions. Operator?
Operator: This time, we’ll be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Andrew D'Silva from Merriman Capital. Please proceed with your question.
Andrew D'Silva: Just few quick questions. Let start off with NAPW. I know that you recently implemented the new CRM and website. Are there any efficiencies and productivity metrics that you can maybe highlight or give to us so that we can see how things are progressing there, as you start coming down fast?
David Mecklenburger: We rolled that new product out during the quarter and now we don't have any statistics right now that we can publish. We’re still evaluating that and getting the implementation team to wrap that process up.
Jim Kirsch: So Andrew this is Jim. I would also add to that. The new sales tool that the reps are using provides management with much greater insight into the sales process. We’re going through deep evaluations of that and it gives us a significant opportunity to more effectively manage the business. The majority of the cost savings that you see, that we’ve been realizing have been from NAPW and a lot of it is come from technology. In addition to that if you take a look at our online engagement and the amount of activities where members are interacting with each other, we’ve seen a material increase in that. And our ability to do things like have a virtual chapter meeting, which really brings networking to every corner of the country, it brings online networking to people, where they want to network. It could only be done through the new technologies that we’ve implemented.
Andrew D'Silva: That's a good color on that. Is it fair to characterize that the next few or couple of quarters, not being about growth, but rather making sure that recent acquisitions are integrated correctly. And then if that is correct, when in your opinion should we start expecting to see more focus on sequential growth going forward, in sequential I mean quarter-over-quarter?
David Mecklenburger: Yes, as we stated previously, we are very focused on driving the company towards profitability. And that means that we’re not going to drive towards revenue growth. We will be turning towards revenue growth as soon as we hit the tipping point of profitability. We think it’s very important that we deliver shareholder value. It’s not -- it's not a question that you asked, but it's obviously stated that our revenue went from $1 million to $10 million in the quarter and we have seen our stock price depreciate significantly. So driving revenue in and on itself has not been the answer to delivering our shareholders with the value that we would like to deliver it to them. So we think it's very important that we have our sights, our immediate sights on profitability. And then with the margins that we have and size of the addressable markets that we have, we think that we can rapidly grow the business with -- proven at that point.
Andrew D'Silva: And then just kind of moving over more to your traditional recruitment business; this is my last question. Intel has really been taken a big investment in diversity, and just to a large extent other tech companies are as well. How are you doing with adoption of your services with other tech companies and what should we be watching for to make sure you are succeeding there or if that's even a market that you tend to address?
David Mecklenburger: So Star and I had the pleasure of visiting with senior executives at the C level of Intel with one of our board members Ms Randi Zuckerberg. We also had a very productive trip to Silicon Valley where we met with a number of leaders in the tech industry and in an event that was hosted for us at Andreessen Horowitz. So we are engaged in active conversations with a number of tech companies. We currently do business with a number of tech companies. But I would caution you that this wasn’t, while it might make the press, it's not all about the tech companies. Really what we are seeing is a drive towards the focus that really has a broad conversation about race relations and quality in this nation. It's about how we are going to do everything in our power to provide not only employment but very-very profitable, very senior employment to our veterans and their spouses. It's about what we are going to do to help corporations in order for them to employ individuals with disabilities. And the government continues to evolve, which affects every companies that does business directly or indirectly with the federal government. It continues to evolve and make standards more clear and stringent as it relates to diversity hiring practices including identification of source of where your candidates come from by the OFCCP to ensure that companies are reaching out to these diverse candidates. I had a great call today with the retailer that has over 5,000 individual units across the country. And they were very-very focused on diversity recruitment especially individuals with disabilities and our veterans. And so I wouldn’t look at this as strictly an IT issue, I really look at it has the broad based move in the United States and our economy.
Operator: Our next question comes from the line of Jamie Pollock from HS Capital. Please proceed with your question.
Jamie Pollock: What revenue level will you start making money and when you expect to kept there?
David Mecklenburger: Hi. Jamie thanks for the question, this is David. As you can see in this second quarter with an EBITDA of 450 and again I mentioned that is not, does not include the 100 or so thousand of non-stock, non-cash stock compensation. You can see that got is pretty close. Again, we don’t give future outlook on revenues, but looking at this quarter should give a pretty good feel about what it’ll take to for us to achieve profitability.
Jamie Pollock: When do you expect to get there in?
David Mecklenburger: We do know we can which was that. We’re not giving guidance on future profitability or revenues.
Jamie Pollock: Okay. Then how is Q3 going so far?
David Mecklenburger: Yes, I can’t comment on that.
Jamie Pollock: That’s not future, that’s in the past.
David Mecklenburger: It is future as far as what’s been published.
Operator: There are no further questions at this time. I’d like to turn the call back over to management for closing remarks.
Jim Kirsch: Thank you operator and thanks to all of you for joining the call today. We appreciate your interest in the company. For those of you who are invested in the company. Thank you for being a part of this, I think tremendous opportunity and great social economic mission. We are available for your calls as always, if you’d like to follow-up in greater detail. Please feel free to reach out to our CFO, David Mecklenburger or myself Jim Kirsch directly. And we do look forward to talking to you when you have the time and when it’s convenient for you. So once again thank you very much and thank you for the participation, your participation on our call today.
Operator: This does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.